Operator: Welcome to Shell's Third Quarter 2023 Financial Results Announcement. 
 Shell's CFO, Sinead Gorman, will present the results then host a Q&A session along with Shell's CEO, Wael Sawan. [Operator Instructions]  
 We will now begin the presentation. 
Sinead Gorman: Welcome to Shell's third quarter results presentation. During Capital Markets Day in June, we outlined how we will deliver more value with less emissions, guided by our principles of performance, discipline and simplification. These principles are driving our everyday decisions and actions with the ultimate aim of enhancing shareholder value. Nearly 5 months on and we're capturing opportunities that are delivering robust results and furthering our strategy. And there have been some great examples of performance this quarter. 
 Take Pearl GTL, in Qatar, which has one of its best operational performances with a controllable availability of 97%. Or Timi, in Malaysia, where gas production has started. This unmanned platform is more cost efficient than the conventional platform because it is around 60% lighter in weight. Timi is also powered by solar and wind energy, overall, a great example of how we can reduce both costs and emissions from our operations. 
 In our Downstream business, we are seeing that our EV strategy is progressing in China. In Shenzhen, together with BYD, we have opened Shell's largest global charging site for electric vehicles. With 258 public fast-charging points, it is already serving more than 3,300 EV customers today. China is the world's largest EV market, and our Shell recharge network of charge points in the country has grown to 25,000 and is already CFFO-positive. This demonstrates the pathway to the profitable decarbonization of our global mobility network. 
 Another performance highlight comes from our joint venture, Raizen, in Brazil, which started producing biofuel made from sugarcane waste at its new second-generation ethanol plant, the world's largest. Raizen is helping customers to reduce their emissions and is already turning cash to Shell while continuing to invest in the energy transition. 
 We continue to maintain discipline and have taken the decision to further lower our 2023 cash CapEx outlook to $23 billion to $25 billion. This already puts us ahead of schedule in terms of delivering the range target for 2024 and 2025. We are able to do this as we have kept the bar high for all opportunities, reflecting our strong commitment to capital discipline and value generation. 
 And our journey of Simplification continues to progress. We agreed to sell our home energy business in the U.K. and in Germany as well as our Shell Pakistan business. And following the strategic review we announced earlier this year, divestment is a priority focus for our Singapore refining and chemical assets at the moment. These have not been easy decisions. But these are necessary steps to further simplify and focus our portfolio and to move us closer to the targets we set at Capital Markets Day. And we will give you an update on our progress against our financial targets in our Q4 results presentation. 
 Moving now to our results. In the third quarter, we delivered robust financial results. Our adjusted earnings were $6.2 billion, and we delivered $12.3 billion of cash flow from operations. The improved results were driven by a better macro environment, including increased refining margins, coupled with higher production in Upstream. This follows the successful completion of maintenance work in the Gulf of Mexico, where we produce higher-value barrels. At the same time, we saw continued low margins in Chemicals, where we keep seeking opportunities for economic optimization. 
 Moving on to our financial framework. I've already shared with you our lower cash CapEx outlook for this year. And in terms of net debt, it remained stable at around $40 billion. 
 Now let's take a look at shareholder distributions. We continue to preferentially allocate capital to share buybacks as we believe that our shares are undervalued. And that's why today, we are announcing a $3.5 billion share buyback program to be completed over the next 3 months. This brings our second half announced share buybacks to $6.5 billion, exceeding the target set at Capital Markets Day by $1.5 billion. And with the step up we did in Q2, our dividend per share in Q3 is now 32% higher than in the same quarter last year. 
 In summary, this quarter, we have delivered robust results whilst providing the secure energy our customers need, and we continue our focus on performance, discipline and simplification. We have backed up our words with actions, and we will continue to do so. At Capital Markets Day, we set out a path to increase shareholder value, and that is exactly what we are doing. Today's announced share buyback program elevates our total announced shareholder distributions to around $23 billion for the full year 2023. These returns mean we are delivering towards the top end of our shareholder distribution range, showcasing our strong commitment to be the investment case through the energy transition. Thank you. 
Operator: [Operator Instructions] 
Wael Sawan: Thank you for joining us today. We hope that after watching this presentation, you've seen how we have delivered robust results and how we continue to focus on our guiding principles. Today, Sinead and I will be answering your questions. And now, please, could we have the 1 or 2 questions per person so that everyone gets the opportunity? And with that, could we have the first one, please, Luke? 
Operator: Our first caller is Oswald Clint from Bernstein. 
Oswald Clint: I like the slide today showing some of the high-grading moves and some of the longevity decisions you've been taking recently. Probably it's only a snapshot, but it seems to be a lot high-grading moves and longevity moves in terms of the map. So it always begs the question of pipeline depth and pipeline length. So I know we discussed this a little bit back in June, but just in the context of some of the recent, let's say, chunkier deals in the sector, are you still feeling as confident in terms of the portfolio depths? That's the first question. 
 And then on the topics of high-grading, my second question was on the underlying OpEx trends, I think year-to-date $28 billion, it's about flat versus last year. And I'm just thinking ahead to the $2 billion to $3 billion structural cost elimination by the end of 2025. Maybe you could help us think about the big buckets or decisions that will help us get closer to seeing that number come out of the cost structure, please. 
Wael Sawan: Super. Thanks for that, Oswald. I'll take the first question, and I'll come to you Sinead for the second one. First, also to your point around the strategy and where we are, really real conviction in the continued pathway that we have taken and that we announced just 4.5 months ago on Capital Markets Day. And we are seeing the fruits of that labor right now with that focus on performance discipline simplification. 
 If you look at what we said at the time, our focus was and continues to be growing the per share value. Clearly, that has multiple threats to it: one is the funnel, which I'll come back to in a moment; two is making sure that we continue to drive performance in the assets that we have, and you have seen now quarter after quarter, a steady drumbeat of steady performance; and then thirdly, we continue to exercise the discipline and simplification that allows us to right size our CapEx and reduce our OpEx so that we can unlock the full potential of the company.
 From a portfolio perspective, we continue to be very confident with the run rate that we have. And what you see, for example, in LNG, the 20% to 30% that we expect to grow by 2030 represents around 11 million tons per annum of new equity capacity that's coming in, whether that's from Qatar or whether that's from LNG Canada or Nigeria, they are all important barrels into our portfolio.
 On the Upstream side, we've had some, of course, important milestones with Vito ramping up, well now having just moved to Ingleside side so that's come to bring some new barrels. You're going to have Mero-2, Mero-3 and Mero-4 in Brazil, and so on and so forth. And that is [ definitely ] an important funnel that we're going to continue to liquidate over the coming months. 
 The one I will remind you of is north 500,000 barrels per day of new production expected to come by 2025 at a [ breaky ] price of just under $30. So [ definitely ] strong and we continue to believe that executing the strategy and the way we describe it is absolutely the right thing for us.  Sinead? 
Sinead Gorman: Thank you, Oswald. Indeed, in terms of the OpEx, so specifically, you're asking why it seems flat at the moment. Do we have confidence? What are the big buckets? 
 So the way I would characterize it is, of course, it takes time. We've got a lot in the funnel at the moment, some of which you're seeing very much talked about in terms of the structural ones in the news. There's enough news article provided, it appeared. So we're very much looking at taking cost out in terms of the way we do business. 
 And then secondly, of course, there's the other bucket, which is around divestments. And you've already seen us announce Pakistan, of course, now. You've seen  [ Toro ] and there's many others as well coming through. So I'm pretty confident in terms of are we going to be able to deliver it. Yes, it takes time. You don't get it in a month or 2, Oswald. It will take the time to get this out and funnel through. And of course, we'll update you in Q4. Thank you. 
Wael Sawan: Thanks, Sinead. And Oswald, thanks again for the questions. 
Operator: Our next caller is Roger Read from Wells Fargo. 
Roger Read: I guess I'm curious, as we look out, there's been a lot of M&A on our side of the pond. So just wondering, as you're looking at it, not necessarily saying you have to participate but what you think of some of the opportunities that have occurred out there since some have been onshore some have been a little more offshore and whether or not any of that does make sense for Shell at this point. 
Wael Sawan: Okay. Thanks for the question, Roger, and good morning to you. Of course, we've been keenly observing the transactions that have taken place. While I don't think I'm the best place to comment on those, I can tell you indeed how we think about them. 
 As I mentioned in the previous question to -- that Oswald asked, we fundamentally believe that the strategy we have is absolutely the right one for us. And it's a balanced energy transition strategy. It's a strategy that continues to deeply believe in the role of gas and LNG. It's a strategy that continues to see an important tool for oil. And it's a strategy that's looking at leveraging our marketing and our trading capabilities to be able to drive the decarbonization journey. And so our value proposition, that theme that we brought out, the investment case through the energy transition, I think, plays out very nicely with the current portfolio that we have that we're very pleased with.
 If we then look at how we want to be able to deploy capital, our preference right now is to continue to buy that very attractive asset base that we have and the free cash flow yield that is also a very healthy free cash flow yield and continue therefore to preferentially allocate our capital towards share buybacks, more so than going for big acquisitions. And from now to 2025, if we can unlock and when we will unlock the value of what we are, what we have committed to, you will see a significant amount of value being generated, to the tune of 10% free cash flow per share growth year after year between now and 2025 and then absolute free cash flow growth between now and 2030 or 6% per annum.
 So that strategy for us continues to be the right one and continues to be, in our view, the one that is most accretive for our shareholders without going for a big inorganic that could be diluted further. I hope that addresses your question, Roger. Thank you for it. 
Operator: Our next caller is Biraj Borkhataria from RBC Capital Markets. 
Biraj Borkhataria: The first one is on the LNG business. You cited that you sort of expect Prelude to come on towards the back end of the fourth quarter. And then I guess you've exercised some caution on Egypt. I was wondering, typically, you walk into the winter with net length in your portfolio. Are you able to optimize and take advantage of volatility, which is typically higher? I was wondering how you think you'll -- do you have the net length in the portfolio for the next couple of quarters? Do you think you have the capacity to be able to optimize as you see fit? 
 And then the second question is on -- project specific on LNG Canada. This is your largest capital project in the portfolio. And if you look at some of the press reports, it seems like everything is gearing up to sort of start up in maybe late 2024. So can you confirm when you expect that project to start up? And if you're not willing to commit to a year or a timeline, I was wondering where you see the biggest areas of LNG. 
Wael Sawan: Super. Let me take the second question and then go to you, Sinead, for the first one. LNG Canada, we have indeed been pleased with the progress that has been made. You will have seen early October when TCE, the pipeline developer, and Coastal GasLink, the pipeline itself has, in essence, completed the golden well, the final well on that pipeline and since then have also hydro-tested the pipeline successfully. So very pleased with that because, as you know, that was very much on our watch.
 The second bit then is more facilities at site. The joint venture announced not too long ago that they had just passed the 85% completion threshold. And so that all continues to go according to plan. We're not announcing anything new. We continue to say today that we expect to have a start-up by the middle of this decade. What could go wrong? I mean typically teething issues in the start-up of the plant, but that is what we are very focused on. What we have said to the joint venture is our focus is not just on the first cargo and when it starts up; it's on when can we get to the 100 cargo because that will show us the stability of the overall plant. And that's what the team is focused on. And so, so far, we've seen good quality or the joint venture has seen good quality overall in the materials that we have received. The equipment was received. And so far, the progress has been as we would have hoped for. Sinead? 
Sinead Gorman: Yes. Thank you, Biraj. Indeed, in terms of our LNG portfolio, of course, this quarter, we saw some 6.9% in terms of liquefaction volumes. And actually, when you look at the range, you rightly say it's between 6.7% and 7.3%. So it's -- we're sitting very well across that range. And that includes, as you say, both Prelude and also our anticipated impact with respect to Egypt as well. So according to that, that's all baked into where we're going to. 
 You can see this quarter, we were able to access, of course, third-party volumes as well and be able to take opportunities in the market and actually very good results from our Integrated Gas business. We expect, of course, going into the Northern Hemisphere winter to not only have those equity volumes, but also to have the third-party volumes as well as what we can do with those, whether locked up or not. So yes, we do expect to be able to the quarter very well as well. 
Wael Sawan: Thanks, Sinead. Thanks again, Biraj. 
Operator: Our next caller is Michele Della Vigna from Goldman Sachs. 
Michele Della Vigna: Two questions, if I may. The first one I wanted to ask is about working capital management. If I regress the Shell results over the past few years, with a $15 increase end of quarter to end of quarter in the oil price, I would have had a working capital build between -- somewhere between $4 billion and $7 billion. Instead, this quarter, you actually managed to release operating working capital. I was wondering if something has actually changed in the way you manage it in order to preserve capital at times when prices have an extreme spike in the quarter. 
 And then secondly, I was just wondering if you could perhaps give us a quick run-through for Prelude in terms of what you've been able to fix in this shutdown, what probably still remains to be fixed in the future and where you think the long-term uptime could be on the project after all of the work that you've done in the last few months. 
Wael Sawan: Michele, thank you for those 2 questions. Let me start with the Prelude one, and then I'll give Sinead the opportunity to talk about some of the brilliant tour that she and her team are doing on working capital management.
 On Prelude, just a sort of reminder. So we went into this turnaround having had the best one on Prelude, over 100 days of steady production. We were running north of 95%. So very pleased with the fact that we are now being able to really understand the operating envelope within which that facility runs. This is the first major turnaround that we have undertaken, of course, partly delayed because of the COVID event. So this really gave us the opportunity to be able to liquidate a number of issues, in particular around safety and reliability, but also gave us the opportunity to go into discovery scope, which allowed us to learn a bit more about how the equipment has responded. Very pleased with how the team has been responding. Of course, it's always tough to do the first of these major turnarounds. We learned that on other major assets. But the team has done well. A lot of the planned work has been worked through and then there was some discovery scope in certain parts of the facility that they have now -- that they are now focused on.
 In terms of how we expect to come out of this turnaround, look, at the end of the day, a lot of the improvements were meant to be able to establish more reliable and continued performance that we saw going into the turnaround and do it much more structurally. So I have confidence that we will continue to improve. But this won't be a journey of one single turnaround. This is a journey of multiple years to get the asset to continue to do what we expect it to do, though I have high confidence that on the back of what we have seen so far that we are going to get there soon. Sinead? 
Sinead Gorman: Sure. Thanks, Michele. Great question. You may remember last year, we had certainly some large flows of working capital. And I spent a lot of time trying to explain what occurred around those. That's certainly aligns with our focus. There are many things last year, of course, that have occurred. There was a huge amount of volatility that came into the market post, of course, the war with respect to Ukraine. But it also allowed us to focus very carefully on what we were doing. And there was a range of activities that took place in that nothing particularly difficult. It's just the usual things of making sure that you're doing the right trades on the same exchange rather than different exchanges. The collateral, et cetera, can be a bit more focused. So just the intelligent things that you should be doing around managing your working capital. But that's been very, very much focused. And I would say that everyone in the organization looks to that. Of course, you have volatility. 
 Beyond that, this quarter, because I see your point exactly on I think you said $47 billion of a build over the period or over a couple of quarters. What we saw, of course, was $0.4 billion of an inflow. And some of that, of course, will go out again next quarter. But what really happened there? What we saw fundamentally on that was -- Slide 8 is a good one to have a look at, by the way, in the pack. What it shows you there is, of course, with prices going up, you have the outflow in terms of both price and volume in terms of inventory. But beyond that, that was more than offset by both our AR and our AP. So Michele, if you have a look at it, what you see is, in effect, what occurred was that in terms of our AP, we started building in terms of middle distillate as coming into what we think we need for the next quarter.
 In terms of AR, there's 2 things that's occurred there. We have some prepays coming in from some of our B2B businesses. And you do remember that from last year as well. And then secondly, of course, with the divestment of [ Toro ], which is reaching its conclusion, of course, there's an awful lot of collections that come in alongside that. So combined that meant we're in a position with 0.4 inflow, which is great to see, but a small amount of that will go out again next quarter. Thank you. 
Wael Sawan: Thanks, Sinead, and thank you for the question as well, Michele. 
Operator: Our next caller is Giacomo Romeo from Jefferies. 
Giacomo Romeo: Yes. You mentioned in your prepared remarks that divestment is a priority focus for Singapore. Just thinking here in terms of where -- what that -- where that leaves you in terms of your overall strategy for the Downstream and what's your view with regards to your European assets. 
 Second question on buyback. At the CMD, you gave us a helpful floor for buybacks in the second half of the year. Just wondering if you are willing to provide a floor for as we move into -- as we start to look into -- move into 2024. So sort of a floor for '24 or first half of 2024. 
Wael Sawan: Okay. You can start with the buyback question. I'll take the second one. 
Sinead Gorman: Indeed. So Giacomo, it's going to be a short answer on that one. I think what you can predict is we will do what we said, which is very much around looking to a 30% to 40% distribution around CFFO. And of course, that means you could be at different parts of the range. You'll hear -- see me and the team very much focused around value. 
 So you'll see us preferentially allocating to share buybacks, which is exactly what we did this quarter as well, of course. But in terms of are we going to go further to give some forward looks on this. We're not. We'll stick within the framework that we provided so far. Thank you. 
Wael Sawan: Thanks, Sinead. And let me take the first question, Giacomo, around where does that leave us. Maybe to focus specifically on Chemicals and Products rather than more broadly across our Downstream businesses. On Chemicals and Products, what we said at Capital Markets Day is that if you look across our asset base, we have $28 billion of capital employed there. Our #1 priority is getting Shell Polymers Monaca up and running. That's around half of the capital employed. And we're very much focused on doing that. And we hope to see the steady ramp-up through the beginning of next year of that facility.
 Then we talked about some real strength in our business, for example, the North Americas assets, the Chinese assets, and that we continue to drive and drive operational performance and continuous improvement. We then highlighted both the Singapore energy and chemical park as well as our European energy and chemical parks for review. As Sinead said both in the video and just now, we have taken a decision to preferentially look at the divestment route, and we are going through that process. 
 For the European one, we continue to review it. We still believe that our energy and chemical parks give us a real opportunity to be able to use that infrastructure, the terminals, the pipelines and the equipment itself as an opportunity to be able to establish some of our low carbon solutions options. To give you an example. In the Netherlands, we are building facilities there like Holland Hydrogen I, a green hydrogen facility that will be linked into our energy and chemical park in the Netherlands, and we're also building a HEFA plant or a bio plant there as well. So leveraging that real estate to be able to create value as we look to help our customers decarbonize as a key part of that strategy.
 Long story short, we continue to do what we believe is going to allow us to improve the returns of that business and to create the sustainable delivery of the earnings and the cash that we expect of it. And we've guided, as you will have seen in Capital Markets Day, to roughly a flat capital employed from now to end of the year, roughly $3 billion per annum invested in these energy and chemical parks and looking to create a $3 billion to $4 billion of value add to them. So that continues to be very much our plan. 
 Thanks for the question, Giacomo. 
Operator: Our next caller is Peter Low from Redburn Atlantic. 
Peter Low: The first was just on the lower CapEx range. I think you suggested in the prepared remarks that, that was because some investments perhaps had met your return criteria. Can you give any examples or perhaps some color as to what areas of the business that reduction has come in? 
 And then the second was actually just a follow-up on Shell Polymers Monaca. You talked in the past about it contributing $1 billion to $1.5 billion of EBITDA once it is fully ramped up. Can you deliver that in the current margin environment once you are on top, of course? Or would it require a recovery in industry margins as well? 
Wael Sawan: Okay. Let me take the second one first and then hand over to Sinead. On Shell Polymers Monaca, the $1 billion to $1.5 billion of EBITDA continues to be what we guide for. But we guide for it on the basis of reference prices, which we have indicated, and we provided those in Capital Markets Day. Clearly, the market that you see at the moment is being punished, the chemicals markets. We have an unprecedented wave of new supply that came over the past 3 years, meaning that the indicative chemical margins are beaten up. The way to think about $1 billion  to $1.5 billion is think about it around the reference price that we indicated in the Capital Markets Day pack. Sinead? 
Sinead Gorman: Yes. And thank you, Peter. Indeed, we brought down our CapEx range. As you know, we started with 23 to 27. We brought it down to 26. The last one is the upper limit on 25 now. What you're effectively seeing is just really great discipline and scrutiny across the portfolio. We're basically ensuring that we're set up well for what we had promised for '24 and '25. So this is just putting our words into action bringing for this forward as rapidly as possible across the whole organization. So what are we really doing? It's really about scrutiny, as you say, very much focused on where the numbers make sense for us and where we could truly differentiate. 
 So what is that -- where does that play do? Integrated Gas and Upstream, of course, we're still continuing to spend, as you would expect. We're seeing us taking smaller mine site of Chemicals and Products. Per your point, well, difficult industry at the moment. That's logical given the market conditions. We're also taking some mines in terms of marketing because we've invested so much so far that they're not actually beginning to recoup the benefit, and that's what we want to focus on. And finally, of course, we're taking a little bit of eyes on the renewable side. And that's simply just market conditions as you can imagine. I speak plenty of that in the press recently. So thank you for your question. 
Wael Sawan: Thanks, Sinead. And Peter, thank you for the question. 
Operator: Our next caller is Lydia Rainforth from Barclays. 
Lydia Rainforth: Two questions if I could. The -- actually just following up on the CapEx side, Sinead. The $2 billion range that you still have, there's only 8 weeks left. So can you just review what the battles are in that? And I know you've also invested the buyback, but basically you could have done more on CapEx and higher buyback even though you haven't. So just how you think of that. 
 And then secondly, and relative to the CMD, are things going exactly as planned? Or as now it happens so things are slower than you like and some things, I'm just wondering if you can give us a sense of you've talked a little bit about cost, but just overall, how you think progress is in that first sprint. 
Wael Sawan: Thanks, Lydia. Do you want to take the first one? I can take the second one. 
Sinead Gorman: Yes, in terms of the CapEx. Thank you for -- Lydia, I know it feels weird there's only 8 weeks left at the end of the day. Where that came from in terms of the range, it's just -- there's really nothing too exciting about it. It's just simply put, there are a number of payments that will come out between now and year-end depending on milestones. So things related to LNG Canada, things related to Qatar, et cetera. And those can fall one week, plus or minus, into this quarter or into next quarter. And that's what really throws us a little bit. Hence, we give the range as it is. But I assure you there's a lot of discipline to make sure we're only spending that, that gives us the returns we need. Thank you. 
Wael Sawan: And on the progress we're seeing, Lydia. I mean, firstly, at a high level, maybe to say I am very pleased with the progress that we are making not just since Capital Markets Day, but it's been a strong, steady drumbeat of performance for a while now. So the organization is responding and they're responding well. And I think we've been able to, hopefully you will see that, to do what we said we were going to do. But let's break it down into 3 elements that we have underpinned our first sprint by performance, discipline and simplification.
 On the performance side, whether it's operational performance or financial performance, you're seeing us hopefully become more predictable and a bit more consistent in the way we're delivering, and we are very consciously going after that. And the businesses are really focusing on just getting on top of the day to day, just getting the basics right every single day.
 On the project side, we had some big wins on projects like Timi coming on board; Vito being ramped up at the pace that we would have hoped for, if not a bit faster; and other projects in the funnel moving. So that muscle of performance, I'll never tell you I'm fully satisfied because it takes a long, long time to be able to get into the space we want to get to. But ultimately, we need to keep improving, and that's what we see right now. So I still see more running room there, but very proud of how far we've gotten.
 On discipline, again, Sinead will have told the story now a couple of times. We started with a belief that we can move into the range of 22 to 25 in 2024 and 2025. The fact we have now fast tracked that by a year, I think, speaks to how quickly the organization has responded to that real discipline and focus that we wanted to impose and at the same time, the word Sinead used is the right one, much deeper scrutiny of many of these opportunities coming our way. 
 That also, by the way, applies to OpEx. And again, I won't repeat Sinead's point, but this is going to be a staggered process with divestments likely to be the more material contributor in the short term. And then over time, some of the organizational choices, some of the more focused choices around portfolios will all add up to supporting us in that space. 
 And that finally plays the Simplification. And we're trying to do a lot on that front. We've talked in the past about organizational application at the Executive Committee. We've now simplified the level -- the next level under that. Those leaders look how they can simplify how we continue to drive singular business outcomes and align the organization around those and how we can just take away a huge amount of churn that's coming into the system so that we can become faster and more agile in the way we make decisions and how we execute. And multiple small examples that I have seen in the organization around that, the time it's taking us to turn around certain material. Our business plan that we are in the process of reviewing used to take us a lot longer. We're much clearer. We're sure on what we need to do. And there are many stories like that, that are being now -- that are coming up in the organization, which gives me a huge amount of confidence that we're on the right track. 
 Thanks for the question, Lydia. 
Operator: Our next caller is Irene Himona from Societe Generale. 
Irene Himona: My first question is go back to the experience with Monaca and indeed with Prelude. It seems that large project developments remain somewhat challenging, and we've seen that elsewhere in the industry. What lessons do you draw from these as you look to complete other large projects like LNG Canada, which you referred to, to improve the delivery and reliability of large-scale projects? 
 My second question, in light of what is unraveling in the offshore wind industry, I wonder if you can remind us of how you view the returns and indeed the attractiveness of that business Europe versus the U.S. perhaps. I recall saying in the past that at least in Europe or Germany, perhaps that industry was looking quite attractive. 
Wael Sawan: Thank you very much. I'll take the first one, if you want to answer the second one, Sinead. You mentioned there large projects and the complexity. I think it's a fair challenge there at the moment, Irene. 
 I think -- and if you look back, say, 20 years, what we have progressively learned is while many of these projects ultimately do work, the challenge is the cumulative risk that you take on when you build these mega projects. And these challenges come whether it's from technical issues, supply chain challenges, execution capabilities and so on and so forth. And you are putting significant amounts of capital usually concentrated in one location, and that has its own impact on the inflationary environment. It creates the delays, the bottlenecks within the country and the broader system. And so we've learned those lessons. 
 And what you see is our portfolio going forward continues, of course, to have large projects, but we are trying as much as possible to go back to basics around where can we design one and then build a few. Where can we modularize? So instead of building a significantly large facility, can we build 2 or 3 smaller facilities that allow us to be able to generate cash faster, that means that the execution risk is lower compared to the larger infrastructure and that allow us, for example, in the case of Upstream, to derisk the subsurface or we invest in the next tranche of growth.
 Those are some of the things we've done. How do those loans then apply? Take a project like Vito. Vito came off the back of some of the learnings, specifically Appomattox and the like, big projects, which we're very pleased to have in the portfolio. But we said, what can we do differently in Vito? And what we did was we took a much simpler hull. We're very selective around what we put on the facility side. And then we are seeing today the fruits of that labor. 
 On the back of Vito, we have now developed Whale, which is a 99% replica of the hull and some 80-plus percent replica of the top side and something which has moved very smoothly. It's already now in Ingleside, Texas, ready to be floated out of the location. And we will continue to look at that replication strategy, more modular, more digestible, things which allow us to hopefully achieve low capital intensity and be able to move at a faster pace than maybe traditionally we could have with the much larger projects. But we live and learn, and we'll continue to develop those -- and we'll continue to develop and deepen those learnings, of course, in the coming years. Sinead? 
Sinead Gorman: Yes. Thank you. And thank you, Wael. Indeed, when we think about our renewables portfolio, of course, we're very much looking for integration. That's really been the focus. I hope that's come through. For us, it's about making sure that we actually have the optionality to be able to market the electrons and support our own portfolio. So it lies trading to be the spider in the web, in effect, to be able to go in either direction to the market or to our owned assets. 
 So in the same way we look at offshore wind very similarly. We've had many opportunities throughout in terms of integration. If I take a step back for a moment and think about things like Australian projects, which is not offshore wind, but it's more renewable assets ERM, this was a business that we actually bought in Australia about 4 years ago, I believe. And what we saw there was the ability to have both renewables assets trading business and customers. It allowed us to be able to flow through those molecules or electrons and be able to decide where we put them. That's been incredibly profitable for us, actually very cash positive at the moment. And actually, the payback is much accelerated from where we thought.
 We've taken that same concept into when we could offshore wind. So when we look at offshore wind, our thought process is very much upon where can we see the integration. We don't look at specifically around geography, it's more about what is the actual space we exist in. Our team has been quite measured and quite paced around that. And of course, it is a challenged area as we've seen plenty of press reports on it recently. So we've been a bit careful to try and look at where can we ensure that we don't lock in the revenues before we've actually locked in the cost. That's difficult to do, of course, as you progress the project, but that's been very much our focus. 
 You alluded to specifically Germany. I would say that we did not win the German -- the auction at that point and quite pleased not to have done at those sort of rates. But what we did talk about before and I think is what you're alluding to is actually the Netherlands. We've talked before about the fact that across the Netherlands, it depends which project you're in, but that we do have optionality. So you see some of our offshore wind there having the ability to either use those green electrons to move them into either hydrogen or HEFA or wherever it may be, or to sell into the market. What we see, of course, is typically when we have merchant exposure, we have more flexibility. Yes, it's more risk, but we get to see those higher returns as well. Thank you for the question. 
Wael Sawan: Thanks, Sinead, for that. And Irene, thank you for the question as well. 
Operator: Our next caller is Martijn Rats from Morgan Stanley. 
Martijn Rats: I've got 2, if I may. I wanted to ask about the res segment, not the biggest part of the company, but nevertheless, about sort of 5% or so of forward consensus earnings estimates sort of sit in that segment. The earnings were sort of close to 0 on this quarter, which looks like compared to the last couple of quarters, but of course, the last couple of quarters had extraordinary conditions, particularly in European energy markets, which I would imagine will have benefited that segment given that it consolidates some of the trading activities. I was wondering if you could give some forward guidance on where we should expect res earnings sort of in quarters ahead now that some of the -- some of that sort of crazy volatility is gone. That was one. 
 And the second I wanted to ask relates to the Marketing segment. Sort of earnings were a little sort of on the light side there compared to expectations whilst actually industry retail fuel margins were sort of quite healthy. We can also see that in sort of independent data from others. But the statement mentioned quite a significant increase in cost of about $630 million as being the fact that sort of weighed on results. And I was wondering if you could say something about that $630 million of extra operational cost in Marketing, where it comes from, is that reversible? If you could say something about that, that would be most helpful. 
Wael Sawan: Super. Martijn, thank you very much. Do you want to take both? 
Sinead Gorman: Sure. On the first one with respect to res, you're referring to the fact that this is the quarter we've actually gone negative, I believe. So in terms of that one, what we're seeing there, you're absolutely spot on. You actually need to probably have more time to take a step back and look at back to the start of 2022. So of course, with the war, et cetera, you saw that volatility coming through and it came to in the gas markets, but also, of course, in the power markets as well. 
 And actually, what you saw was a big cash outflow for us in terms of Q1 to Q3 in '22, which is really about as the volatility came through in building inventory. And then from Q4 to Q2 of this year, you actually saw that cash come back in. Now that's interesting. Now that volatility, of course, doesn't get created in the earnings at the moment. So it is much more stable in terms of volatility as well. 
 In terms of forward look, I'm not going to do a forward look, as you can imagine, around that. It is -- a considerable piece of it is around trading, of course. And as we begin to weight more towards power or gas, you'll see that volatility coming through, and you'll see that flow, and of course, as some of the operational assets continue to develop. So that's on the res side.
 And then the second one you had, which was around marketing specifically. So marketing is, from our perspective, we actually did see a squeeze in terms of the margins. So I would have a slightly different view on that in terms of just margins being compressed. And of course, that's just logical when we saw the rising commodity prices coming through, just an increase in the feedstocks at the end of the day. 
 Secondly what we saw, of course, was with respect to lubricants, which obviously comes in there as well. It's not just our mobility business, but we actually saw softness there. And that's, of course, down to the fact that you're seeing inflation hit some of the industrial side of things, so the demand is really just falling. So that on the lubricant side, combined with increased costs in terms of the mobility side and also just slightly less demand, we didn't see the driving season kick off quite as much as we would want. That's what you really saw flowing through. 
 But fundamentally, when I take that step back and look at it as an integrated portfolio, Martijn, as you know. So I would expect our marketing business to do a little bit less when you're seeing our Upstream business doing so well. At the same time, am I confident -- what I'd suspect is where you're going to in terms of am I confident that we're going to hit the sort of numbers that we're talking about from Capital Markets Day. I am. I take a step back and look at it from the point of view of previous years.
 If you look at it from the perspective of 2019 where we had $65 Brent, and we were hitting about $3.9 billion in terms of earnings, can then compare it, of course, to where we were in 2022 where we were actually sitting at $100 and at about $2.8 billion. So full year so far, we're already hitting that level. So we haven't even hit, sorry, the full year. So that gives us the time in terms of the comparison between 2019 and 2022, that comparison effort. And if you read into that, you can see our confidence in terms of being able to deliver with the option, of course, of OpEx, which we're going after very heavily, which links to your cost question, and of course, focus, which is going to be key, hence Pakistan, and you'll see more of that flowing through in the next couple of quarters as well. Thank you for the questions. 
Wael Sawan: Thanks, Sinead. Martijn, thank you for the 2 questions. 
Operator: The next caller is Christopher Kuplent from Bank of America. 
Christopher Kuplent: Just following 2 questions. The first one probably for you, Sinead. You've now obviously told us it's going to be $23 billion or thereabouts of cash returns. I just wanted to understand a little bit what you're trying to tell us with your 30% to 40% payout ratio. Are you guiding us towards CFFO in the fourth quarter that I -- on my bad math, then needs to be $60 million or so. And are you telling us something here on perhaps a reversal or part reversal of some of these derivative cash outflows that you've seen not just in the third quarter, but really all year? So a broad question. Make of it what you like. 
 And then secondly, you just mentioned Pakistan. I wonder whether that process has gone as you would have expected in terms of interest from the trade and how you feel about that indication you gave us in June while cutting that marketing tail a little further? 
Wael Sawan: Great. Let me start with the second one and then go to Sinead rightly as you advised, Chris. On Pakistan, what I would say is it's moved faster than I would have expected. Because these are not typically liquid markets for some of these transactions. We did have good interest, and we're very pleased to have signed with Wafi, the company that's going to be acquiring it. 
 If I broaden the question indeed more holistically, we are already making a number of moves to be able to continue to high-grade the portfolio as we pursue value over volume and marketing. This is one of more examples, as Sinead's already indicated, that you will see in the coming quarters. I'll just reiterate the point Sinead made there. 
 The few things we're trying to do in the mobility and marketing space, in general, are: number one, continue to manage our costs; number two, high-grade that portfolio; number three, look to premiumize more and more, so push for differentiated products in both our mobility and in our lubricants business; and then, number four, selectively invest capital. We still invest around $3 billion in marketing. Invest that capital in the areas where we see that we can deliver the sorts of returns, the 15-plus percent IRRs that we have seen. And these typically can be relatively short cycle investments. And so we are, in essence, executing that strategy, and you will see more proof points of that over the coming quarters as we bring it to life. Sinead? 
Sinead Gorman: Indeed. And thanks, Chris. I always find myself dancing around I'm not doing forward guidance with you in terms of the questions. Now to be really clear, we're not guiding, in any sense. This is just a mixture of buybacks and delivered buybacks and dividends so far. So simply put, Q1 was $4 billion, Q2 was $4 billion, $3 billion in Q3 and $3.5 billion, of course, in [indiscernible] as well. So that's the $14.5 billion coming across. 
 And with the dividends, roughly speaking, in terms of what's announced, it's $8.4 billion, of course, for -- so far in terms of taking across those 4 quarters, hence the $23 billion. Nothing more than that, but yes, very much committed to my 30% to 40% over across the cycle. So that's where we are. Thank you. 
Wael Sawan: Thanks, Sinead, and thanks for the questions, Chris. 
Operator: Our next caller is Alastair Syme from Citi. 
Alastair Syme: Can I just ask on the LNG business? The Panama Canal is currently constrained, and it looks to be affecting flows of LNG cargoes for the U.S. Gulf. From your perspective, is this a cost or an opportunity as you think about the fourth quarter and any sort of magnitude, please? 
 And then secondly, perhaps if you could give us some perspectives on where you think you're at in the midyear? There's a lot out there in the industry press and I'm not really sure what to believe. So maybe some sort of holistic overview from you about where you think you're at? And do you understand the geological system that you have? 
Wael Sawan: Thanks, Alastair. Let me take the second one and go to Sinead for the first one. On Namibia, we continue to like what we see. So we are in the process where we have now appointed a full-time leader to be based in Namibia to oversee the overall play, and he will be moving out there early next year. To date, we have drilled 5 exploration wells. We've drilled one appraisal well, and we've had one successful flow test. 
 What's particularly pleasing is that all of those wells drilled have been top quartile across every benchmark that we find in the wells space. And so as important as discovery, making sure that we can actually outcompete when we drill those wells is a key area that we're focused on. And of course, we're leveraging significant learnings that we have across our global portfolio.
 As we look into the coming months, so do we fully understand the geology and subsurface? I would say, no, this is an evolving picture as you would expect. There's a lot of encouraging data that we have identified, and you have picked some of it around volumes in place and the like. And critically now, it's about making sure that we understand the producibility of a lot of the various horizons that are there in that play. 
 In the next 6 to 9 months, we expect to drill another exploration well, another appraisal well as well and at least one more flow test, which starts to converge on understanding the overall development pathway we take for it. To give you a sense of our belief in Namibia, roughly 1/4 of our deepwater exploration spend in 2023 and 2024 will be directed to Namibia. So it is a theater that we fundamentally believe in and we are looking to understand what is the optimal pathway for us to be able to go forward. Sinead? 
Sinead Gorman: Yes. And thank you, Alastair. It's an interesting time at the gas markets at the moment because what we saw, of course, in this quarter in Q3 was fundamentally that you didn't have any changes to fundamentals, but you had changes to events. And that was what really drove some of the volatility coming across. Of course, the market is incredibly fragile at the moment. So you've seen big swings, for instance, all the speculations [indiscernible] and strikes. We saw, of course, the European market move by many dollars, and of course, free porting the [Technical Difficulty] 
Wael Sawan: Alastair, thanks again for the questions. 
Operator: Our next caller is Matt Lofting from JPMorgan. 
Wael Sawan: Luke, I can't hear Matt if he's speaking. 
Operator: Apologies. Matt has dropped off the line. Our next caller is Kim Fustier from HSBC. 
Kim Fustier: Firstly, just a quick follow-up on offshore wind. You handled the South Coast offshore project a few months ago in the U.S. Can you confirm whether you've taken impairment against that asset? And are you looking to rebid the project at a later stage? Or has this been permanently shelved if you can't really see the integration benefits? 
 Secondly, I wanted to ask about the Venture Global LNG arbitration case. I think one of your senior executives has been quite vocal about the whole situation. To what extent does the situation change your view, if any, on growing LNG volumes through equity positions versus third-party offtake? Or do you think this is a problem that's very specific to Venture Global and you still remain comfortable with growing through third-party offtake? 
Wael Sawan: Thank you for that question. Sinead, do you want to start off with the first one? 
Sinead Gorman: Sure. Absolutely, happy to, and thanks, Kim. Indeed, on offshore wind, you're referring to sort of 1 of the 2 JVs we have in the U.S. I referred earlier to the fact that we've been quite measured in terms of how we're taking those forward. But the one in particular that you referred to, I think you're referring to the news article that hit that we had pulled out of effectively a PPA there. That links to the comment I made earlier today, which was really about not liking to be -- locking in revenues when you have unlocked in costs in the hyperinflationary sort of environment. So what you saw us do there was to agree with our partner. And we both agreed that we would exit the PPA, not the project, but the PPA specifically at this point in time, and we will pay the penalty. In terms of Shell's share of the penalty, you'll see it's considerably less than 100 million, but that gives you a bit of a feel for what it is at the end of the day, Kim. 
Wael Sawan: Thanks, Sinead. And Kim, to your second question on Venture Global. Look, where things stand at the moment is that we continue to be very disappointed by the fact that a facility that was or that is continuing to run at capacity or just around that and has now shipped over 200 cargoes continues to claim that they are in commissioning phase is not in the spirit of what we have typically seen nor is the norm in the energy -- in the LNG business. 
 The LNG business has been built over the past 60, 70 years on the back of sanctity of contracts, on the back of really ensuring that suppliers and buyers live up to their part of the bargain. In particular, in times like these where Europe as a specific example, but more generally when energy security is so top of mind, and the important role that the U.S. has to play in LNG supply in the future, it is very worrying that the actions of one player could potentially start to undermine confidence in LNG coming out of the U.S. And so we, at Shell, as one of the players that, in essence, provided the bankability for that project through our offtake, we'll use all everything within our means to be able to ensure that the -- we enforce the sanctity of the contract that we have there. 
 What does it mean for us going forward? This is very much an isolated case. We haven't seen this with other players. We have good experiences with a number of third-party suppliers in the U.S. and well beyond the U.S. This is not unique to the U.S. And that is what this industry has been built on a combination of equity and third party, and that is a space we will continue to occupy. We will focus our capital on the areas where we think we can uniquely bring value by building a facility like, for example, in LNG Canada as part of our partnership there. Whereas other areas where, for example, there is available capital to underwrite it, we will leverage the fact that we are the biggest LNG trader in the world, the biggest LNG optimizer in the world, to be able to underwrite those projects with our offtake agreements. That strategy is unchanged. But that specific situation with Venture Global is a unique one that we are looking to work on over the coming days and weeks. Thank you. 
Operator: Our next caller is Henry Tarr from Berenberg. 
Henry Tarr: I have two. One on exploration, and I think you said around 1/4 of the deepwater exploration spend is going into Namibia this year and next year. How is exploration spend overall moved through this year and into next? Have we seen a pickup in exploration spend relative to the last few years? I guess that's the first question. 
 And then the second, just to come back on the derivative moves in the cash flow. I mean they're fairly opaque from the upside, but I think it was $13.5 billion over the last 4 quarters. How should we think about that kind of looking forward? I presume it will all wash out or is otherwise trading off, but would be good to get a sense. 
Wael Sawan: Thanks, Henry. Sinead, do you want to take the second one first? 
Sinead Gorman: Yes, certainly. So in terms of derivatives, I'll just address this quarter specifically because it gives you a bit more of the effects. If you see one of the slides, of course, Henry, that you see 2.5 billion in terms of derivatives. What you don't see, of course, is that this is the roll off of some of our paper positions that occurs in this quarter where we've had some of the cash before. So you can't see the linkage, of course, the timing effect that comes through. That's just natural in the way these roll off. 
 We do hedge, absolutely. We find that very helpful to our business, and you see that flow through in terms of the profitability that we have. So it's not unusual for us. I don't really expect to see anything unusual in terms of releases or anything. That's just the way we run our business. So you see the 2.5 now, and you would have seen cash in previous quarters. 
Wael Sawan: And on your first question, Henry, on exploration. Over the last 2, 3 years, we've been sort of running at just north of $1 billion per annum on exploration. What has continued to happen is we have looked to focus that exploration more and more on what we call our heartlands, our core countries. Gulf of Mexico attracts quite a bit of that. Brazil will attract some of that. And of course, countries -- a country like Namibia will get a significant portion, as I identified earlier. 
 That's important because we look at the balance of what we would call greenfield exploration versus what our backfill opportunities, near-field exploration. You'll have seen us, for example, recently pick up some licenses in the U.K. next to existing facilities. We continue to aim to do the same in places like the Gulf of Mexico. Unfortunately, at the moment, there's unprecedented uncertainty with those leases, which we hope will be resolved by the federal government because the stability, I think, is critical to be able to make those long-term investments. But by and large, what you see us do is continue to leverage existing infrastructure to be able to explore and bring short-cycle opportunities into production and for cash generation as quickly as possible. And that is consistently what we have been doing over the last couple of years and what we will consistently continue to do in the coming years. 
 Thank you for that question, Henry.
 Okay. I think we're at the end of the session, Sinead. So I think time to close it down. Thank you all for your questions and for spending some time with us this afternoon here in London. We wish all of you a pleasant end of the week. Thank you very much, and stay safe.